Operator: Good morning, ladies and gentlemen, and welcome to the Baylin Technologies Third Quarter 2025 Financial Results Conference Call. [Operator Instructions] This call is being recorded today, November 6, 2025. I'll now turn the call over to Kelly Myles, Director of Marketing and Investor Relations of Baylin Technologies. Please go ahead.
Kelly Myles: Hello, and welcome, everyone. Thank you for joining the call this morning to review our third quarter 2025 financial results. On the call today from Baylin are Leighton Carroll, Chief Executive Officer; and Cliff Gary, Chief Financial Officer. We will be available for questions at the end of the presentation. Before we begin, let me make it clear that our comments today may include forward-looking statements and information as well as answers to questions that could imply future expectations about the prospects and financial performance of the business for the rest of 2025 and beyond and include the use of non-IFRS measures. These statements are subject to risks, uncertainties and assumptions. Accordingly, actual performance could differ materially from statements made or information provided today, so you should not place undue reliance on them. We also do not intend to update forward-looking statements or information, except as required by law. I ask that you read our legal disclaimers and explanation of the use of non-IFRS measures and refer you to the risks and assumptions outlined in our public disclosures, in particular, the sections entitled Forward-Looking Statements and Risk Factors in our annual information form for the year ended December 31, 2024, and our other filings, which are available on SEDAR+. Our third quarter results were released after market close yesterday. The press release, financial statements and MD&A are available on SEDAR+ as well as our website at baylintech.com and otcmarkets.com. I would now like to turn the call over to Leighton.
Leighton Carroll: Thank you, Kelly. As we indicated in our last earnings call, we foresaw softer market conditions in Q3 and discussed that. As a result, our top line revenue was $16.8 million. There actually were a couple of additional factors to that I'll talk about here in a second. We obviously did $22.5 million in Q2 of '25 and did $20.7 million in Q3 of '24. The decline was primarily driven by, in the case of our embedded business, a situation of an elevated customer inventory level in a key product, which caused lower order flow-through. And then secondly, we had a large amplifier package that was to ship in September. And in the month of September, and it was obviously going to be meaningful revenue in our satellite business, we wouldn't be talking about it. In September, they came to us and said, because of the importance of the system, it's for a U.S. DoD application, they wanted to delay shipment for 30 days, and they would pay us for additional burn-in or effectively testing time and keeping the systems powered on of that amplifier package. That moved -- clearly, you can't recognize revenue in that situation. That moved that revenue into October. And that was very material. So the number was actually a bit lower than I was anticipating because we had anticipated, particularly that Satcom business to have flown through. But it's -- when a customer asks you to do something like that, no, so you can make a number is probably not the right answer. Separately from that, and I think people know this about us, we've really always focused on how do we improve our margins and how do we operate efficiently. Gross margin on a percentage basis was 43.7% on the lower revenue. That comes to $7.3 million. Now obviously, that's a decrease year-over-year that pretty -- over $2 million, but conversely, because of that focus on, I would say, cost control, operational efficiency and what we're doing with product mix despite being in a little more of a challenging environment as we got to the back half of this year, our adjusted EBITDA was $0.6 million, which is only effectively $300,000 lower than the same period last year, understanding that the same period last year had substantially higher revenues than what we were -- what we produced in this quarter. Obviously, I'm not satisfied with this level of performance. But I do think it speaks to in the long term, and I do fully believe this, the business as revenues continue to rise, and this is part of where in the next -- as I get to the second half of what my speaking, I'll talk about '26, the improving margins and coming back to a growth profile if you're able to have this level of gross margins in a down environment, it kind of -- I like where we're going for next year still. With that said, I'll now hand it over to Cliff Gary to walk through the financial information, after which, obviously, I'll talk a little bit more.
Cliff Gary: Thank you, Leighton, and good morning, everyone. The third quarter presented several challenges with revenue totaling $16.8 million, representing a 19% decline compared to the same period last year. This decrease was primarily driven by the lower demand and customer order pushouts in our embedded and Satcom business lines. Despite this, we maintained a gross margin of 43.4%, reflecting disciplined operational execution. We also made meaningful progress in cost control, reducing operating expenses from $9.1 million in Q3 of 2024 to $7.6 million in the current quarter, aided by lower incentive provisions and a continued focus on aligning costs with revenue levels. Adjusted EBITDA came in at $0.6 million, down $0.3 million year-over-year, while the quarter resulted in an operating loss of $0.3 million compared to a $0.4 million profit in Q3 of 2024. Finance expenses and fair value adjustments were $0.8 million lower, helping to narrow our net loss to $1.1 million, an improvement from the $1.4 million net loss in the same quarter last year. On the cash flow front, operating activities saw a modest outflow of $0.1 million, largely due to a $2.3 million escrow payment related to the 2018 Advantech acquisition. Excluding this payment, operating cash flow would have been a positive $2.2 million, driven by working capital reductions in response to lower revenue levels. This escrow payment was offset by the issuance of preferred shares for the same amount, resulting in a $1 million cash inflow from financing activities after debt and lease payments. We ended the quarter with $5.3 million in cash and cash equivalents, up from $3.7 million in Q3 2024 and $4.3 million at the end of Q2 2025. We remain fully compliant with our lending covenants. Our net debt decreased to $11.4 million, a 20% reduction from the prior year-end figure of $14.3 million, thanks to $2.8 million year-to-date cash generated from operations. While the quarter affected our prior guidance on business conditions, our ability to preserve margins, reduce costs and strengthen our balance sheet underscores the resilience of our business. These efforts position us well for future growth. With that, I'll now turn the call back to Leighton.
Leighton Carroll: All right. Thank you, Cliff. Look, we said that the back half of the year, we foresaw that it was going to be softer. We obviously had a bang out Q2, right? And I would love that to be the case every quarter, but we saw this coming. We knew it wasn't going to be the case. And hopefully, you've heard, at least from some of the numbers, we took steps and took steps early to continue addressing cost structure and look at margin improvement and obviously, to try to run efficiently. Looking ahead, and I think I said this in the second quarter earnings, we actually anticipate similar results in the fourth quarter. Wireless Infrastructure remains strong, right? It is -- it was fascinating to see a business grow 40% in a very down market in '24. Budget was set higher and guess what, they're ahead of plan. That -- I don't see that stopping, and I like how that sets us up into '26. The challenge has been that we expected the softness in the embedded line. And then Satcom, the order flow has been at lower levels, and that's what is reflected in some of the overall backlog numbers. Despite these challenges, we remain firmly committed to our strategic pillars, executing market-driven strategies that make sense for us and deliver customer value, maintaining and continuing to focus on cost discipline, being very careful with how we prioritize and spend on R&D and focusing on revenue growth and margin enhancement. In the long term, I think these will serve us well. Encouragingly, we expect really '26, we'll see increased sales volumes from new and existing customers in our embedded line. We actually believe that as we get out of this year and get into next year that, that line will start to strengthen. I do expect -- and I'm actually very excited about some of the new technology that we're doing in infrastructure that we even have now just in trial and new use cases that are being open to us through our carrier partners. And if you haven't seen it, please take a look at what Deutsche Telekom produced. They actually produced a YouTube video, I've never seen this in my career, about one of our products and what it did for them in the Hockenheimring with 250,000 people, honestly, bananas. It tells me I think we are going in a really good place in infrastructure. And then obviously, we're looking at leaner operations and a more efficient cost structure in Satcom, coupled with the expectation we have a very large pipeline of bids currently. And given what's been happening in the industry, I actually think it's setting that business up for obviously, a better '26, but the plan is longer term, a more sustained, higher-margin operating business that will deliver to the bottom line. The wireless -- I'll talk about each of the businesses quickly. The Wireless Infrastructure business line really continued strong year-over-year growth. I mean, keep in mind that last year was a bang-out year. Seasonality in that business, this is not a Baylin thing. Wireless Infrastructure, Q4 is always a lower sales or revenue volume order. And easiest place to point to, Verizon shuts down their warehouses, they will not take any more order flow on December 15 as an example. So you got -- you start getting to the holiday period, you may get some higher ordering, but the fulfillment and ability to turn that to revenue typically has some seasonality to it. I do like where we are with what's going on in our multi-beam antennas. I do like what's going on as we're expanding globally. And obviously, you have someone like Deutsche Telekom do call you and say they want to do a press release and mention your company by name. Other European carriers, we actually had a Tier 1 English carrier reach out to us and say, that was very impressive. We've now quoted antennas for them. So I like the trend. I like where we're going, and I like some of the new technology. I do expect Wireless Infrastructure is going to clearly beat 2024 numbers and beat their budget, which is a cool thing. And given that it's the highest margin profile -- has the highest margin profile of our businesses, I like that this is going to continue to drive and help the company long term. The embedded line, it was softer Q3 '25 than it was last year. It's really around some customer pushouts. We had a program -- and it's a multiyear program, and it's actually -- they've told us it's coming back in '26, which is a positive, but it has been really down this year. Well, that was largely offset in prior quarters by a different program. that has been doing well. And we're having growth with other customers on other programs. But the second program that I mentioned, which has a nice profile to it, they ran the ODM, who we work with, ran into oversupply in Q3. What's interesting is they actually are starting to pull through orders again in Q4, but we do nevertheless think that the profile of that business will be down year-over-year for the entire year. With that said, the improvements in gross margin, both of you guys kind of know this, I'm a manager gross margin guy, which means manage your costs, get your pricing strategies right, seeing improved gross margins and what that speaks to and how you get there, I think it reflects very well on the embedded team and sets us up, hopefully, for a nice 2026. The satellite business, obviously, there's some -- have been some major changes, particularly in order flow. I've talked about that previously. The pipeline remains strong. We actually had a nice press release where some of our Genesis amplifiers, we had customer orders from a Middle Eastern broadcaster. Part of the reason -- there's an old saying you can't cost cut your way to success. You have to cut your cost and manage your costs, but you also have to innovate. The book, when the purchase orders were received to when the amplifiers were shipped, in that case, now, we obviously had the inventory in hand. There was a lot of things there, but that was 60 days. To put that in comparison, some of the legacy products would be 6 months or more. And being able to do that with -- over the course, and this is kind of the technology evolution in this product stack with less people and less complexity lends itself to higher margins in the long term. We're going through that transition now while we're taking cost out, given the lower order flow. Conversely, given what we're seeing in the pipeline and what we've seen out of some of our competitors, I like -- I do think that our pipeline is going to start converting as we get deeper into fourth quarter and certainly into Q1 of '26, which will allow this business to effectively come through a low point with some restructuring and get to a better place for the long term. That's effectively the vision for it. So obviously, lower performance this year. I think we've been pretty transparent about this. But given the focus on operating discipline and long-term outcome and that realistically, the performance of the business despite these challenges in '25 will look substantively similar, if not identical to '24, it basically means that we're continuing to do the things we need to do to improve the business, create that level of resiliency and get to further growth in '26 and beyond, which is, to be honest, what we foresee. I couldn't do this without our employees. They have to put up with me, my executive team and some challenging environments. And if you go back 4 years and a quarter when I walked in the door, they've been through a lot, but God bless them, we have a lot of talent and people who really believe in what we're building because a lot of what we do is cool and it matters. So I remain confident in our long-term outlook, and we're going to look on building on the places we're growing, fix things that need to be fixed and get them back to growth and go from there. With that, that concludes our formal remarks. Operator, we're happy to take any questions.
Operator: [Operator Instructions] Our first question today will come from Daniel Rosenberg, Paradigm Capital.
Daniel Rosenberg: My first question comes around this R&D spend and the product road map. I was wondering, as you think about your 3 main business lines, how you think about the product set and where you need to invest for future growth opportunities?
Leighton Carroll: Yes. No, thank you, Daniel. Great question. So having a remarkable capacity for stating the obvious, we rightsize R&D to opportunity and growth, but that is different by different business. Wireless Infrastructure, I'm very thankful for our team of engineers just outside of Ottawa. Honestly, I think they're world-class. We are growing, and we are having some really interesting opportunities led by both the big 3 U.S. and the big 3 Canadian carriers and for different use cases, probably not a surprise, that is a place we are clearly going to continue to invest. And because of the growth and margin profile, a place that over time, I think you will see more engineering resources going into. The embedded team is very different. It's more, what I would say, programmatic. And the embedded team is not a product house, right? The embedded group, it's really a solution house that uses RF engineering to create, in some cases, very complex but high-quality RF solutions that are either embedded or part of another person's product. It's why there's a Charter Communications router these days, and we're working on one that has even more. But the one that's being produced today, it has 14 antennas in it, and it's a small box. That is a huge challenge to make that work and perform correctly, part of why we get used, but that's part of a program we've won. So the engineering spend is maybe perhaps less R&D and more solution driving into key revenue. It's not like we're developing an independent technology in that shop, if that makes sense. Hope I answered that right. Within the satellite business, it has been looking at the legacy products, and they could be at times difficult to produce and the internals of them could be, I would argue, overly complex, which for our team in Quebec meant it could be challenging. It was in some cases, more job shop working to produce something, this one is not the same thing I produced the last time. We've been spending our money there and the innovations there, not just to improve the products and the functionality, which is really where we're going in the Genesis line, but designed for manufacturability, common component architecture. But given where we've been in Satcom with the softness in revenue and needed changes in cost structure, we've effectively been addressing cost structure, direct labor side, some indirect, obviously, looking at fixed cost structures and how to address those. But while striving to preserve engineering talent on the road map to drive the new efficiencies and products, to me, that was the place to do it. We drive additional growth into that business, it will -- much like we're seeing on the wireless side, the infrastructure side, it will be opportunistic driven. Where we are right now, there's -- it's about driving efficiencies and where the puck is going, so to speak, whereas in infrastructure, we have some clear use cases where we need to go run at this now and apply our engineering talent there. I know that may have been a long-winded answer, but hopefully, that was -- gave you some insights.
Daniel Rosenberg: I appreciate that color. So clearly, infrastructure, there's a big opportunity for you there and hence the focus. I just want to dive deeper on the Satcom. I'm just -- if we look past 12 months, like 2 years or 5 years for this business, I just think about the trends in defense spending and just geopolitics and all of that, is there opportunity for you guys to build a position there?
Leighton Carroll: That's 100% part of the playbook. That is a great question. So stating the obvious, 2025 has certainly been a wonky year. But as things materialize through the year, it became very clear to us that Europe would start to pivot to more of a pronounced defense spending cycle. The U.S. is certainly going to continue to invest heavily in defense spending. But given what happened at the beginning of the year with DOGE, with [ tariffs ] and the customer instability that caused, we're obviously COSMO compliance. So we're tariff exempt for what we produce in Kirkland. But there was a lot of instability in the beginning of the year. And then you layer on Europe is now pivoting, and we -- as even I mentioned the amplifiers package, which is not immaterial that was delayed from Q3 to Q4. That's a defense spending application. We actually see the opportunities in defense spending for us rising. We actually have made changes in personnel in Europe to focus on defense spending and focus on unlocking other opportunities for us. And I do -- but the challenge is, particularly on the European side, we deal with government entities, and I wish they move fast, but that is not the reality. We do see defense spending becoming a higher component of what we produce, particularly in the, I would say, the back half of '26 to '27. But it's not like an immediate thing right now, which is effectively part of what we're seeing in the quarterly results.
Daniel Rosenberg: And so the infrastructure opportunity, I was wondering if you could speak to just the playbook in terms of capturing kind of more share of some massive customers that you have. Could you just speak to -- is it about a road map of new products that gets incremental different programs? Or is it -- is there -- with the product set that you have now, just more purchases, more volume in terms of this 5G rollout that's happening? And maybe if you could just give some context into how you see this deployment cycle going? Like what inning are we in, in terms of small cells and 5G and the like?
Leighton Carroll: Yes. So 5G is going to continue. We actually -- so I use North America as maybe a proxy. But if you roll back to, call it, '21, '22 and maybe the first 6 months of '23, there was a lot of spending in Wireless Infrastructure. Some of that was readjusting for COVID. You also had the dynamic in the U.S. of T-Mobile acquiring Sprint, retiring a network, putting new network assets up. You had AT&T and Verizon in that period deploying C-band assets. There was a ton of spending. 2024, even though there was continued spending on wireless networks, it was honestly the lowest capital spend market in the last 5 or 6. And I would argue dollar adjusted in the last 10. Well, we grew 40%. How did we do that? We grew by taking advantages of specific use cases, specific competitive advantages that we have been building into multi-beams and some of the things we do with specific small cells, even in-building wireless. If I go back to kind of that macro cycle, as we get to '25, '26, '27, most of what I've seen, and I agree with this is, it will be incrementally higher spending. So what typically happens every 10 years, there's a new G, right? So we started off with just analog cellular, then there was 2G, then there was 3G, then there was 4G around 2020. So like 3G was -- came out right around the year 2000, 4G 2010. 5G started just before 2020, but 2020 was really the kind of that we're starting to see more and more 5G. 2030 will be 6G. There's still a lot of discussion on what 6G will be. Is it going to bring AI into the network, network slicing, all these various permutations. But the one thing that is constant in each of these cycles is the data usage continues to grow unabated, it's actually 2 things. And Wireless carriers acquire and deploy new spectrum assets, right? You can look at AT&T's acquisition of EchoStar. They're not buying that not to deploy it. They're buying it because they need and want to deploy it, and they have a broader strategic vision for what they're going to do with that spectrum. And there's certainly a lot of calls even in the Big Beautiful Bill for more. How does that help us? What are those opportunities? So in the pure macro sense, investment in what we do will continue to happen, and it creates more opportunities to bring in new technology, deploy more wireless spectrum, add efficiencies to carriers. How that translates for us specifically and some of the things that we've been up to, right? We initially focused on stop when I got here, stop doing certain things, start doing certain things where we felt we could drive competitive advantage, but the use cases would matter to carriers. We've always been great in small cells. And by the way, even though I didn't talk about them, we continue to invest in them. Why is that? So we knew 2024 was going to be a terrible year for small cells. We grew in different ways. But we knew 2025, we'd start seeing it come back. Guess what, it has. Our balance by product type is really strong right now, probably the best it's ever been. We actually see as more data use comes out and new spectrum comes out, wireless carriers don't always want to deploy more and more cell towers. It's very expensive. Doing infill with small cells or upgrading existing small cells with additional spectrum, by definition, creates more opportunity for us because we're so strong in that space. Then when you get to the multi-beam technology, similar thing. Multi-beams was originally -- we started doing temporary deployments. And then it was for certain stadium applications. Then it was more -- now because wireless carriers and now, by the way, 3POs, like when I say it's a third-party operator, but that's the easiest proxies to that. And I'm not saying that with X or Y or Z, we're doing this specifically, but the American Towers, the Crown Castles, the SBA, the Boingos, the Boldyn, the Cellnex in Europe, guys like that, they actually own infrastructure assets that can include franchise -- everything from franchise rights to deploy small cells on behalf of carriers in a place like New York City to owning the rights to deploy a system in a stadium or a huge concert venue. And then obviously, tower assets. A lot of those guys are now using multi-beams because they see the value on that, and that is helping us capture growth. And then finally, we have 2 new use cases in wireless. I'm very excited about where -- just quickly, in a situation where a wireless carrier has a cell site that the amount of stuff they have deployed is getting saturated. We're seeing carriers now deploy our multi-beams as a more cost-efficient way to add capacity to those types of sectors. That's not going to stop. And that opens up lots of new sites for us, and it's actually pretty exciting. And then separately, we have another technology that is currently in trial that is solving another regulatory problem for wireless carriers. When we've been out and talking to wireless carriers about this, we actually had 7 -- just talking to the technology concepts 7 Tier 1 carriers ask us for trials. That doesn't happen unless they think you've got something. We are in the process of bringing that to market. We're starting in home field with the Canadian carrier as our trial customer. If that does what we think it will do, and it's -- we got to get the economics right. We got to get -- the functionality has to match what everyone thinks it will do. But if those things get right, that opens up a new growth opportunity. So the way that I think about it is the embedded business has been kind of the Steady Eddie business. It's never going to hockey stick up or down. The Satcom business has been a solid performer, but in the face of a downturn with a certain cost structure, it can -- it needs to have some improvements to it, and it takes time to do the innovation we needed to do there because of the complexity of the product. We're doing those things, but the growth engine for us has turned into the Wireless Infrastructure group. And I don't think that's going to stop. And that's where I like how it sets up for the future because I think what we're doing should continue to roll.
Daniel Rosenberg: And just last question for me. As you think about that infrastructure opportunity, could you speak about the kind of operating leverage as volumes go up on the products you have, like once you're in procurement efficiencies around sales, just how we could think about, I guess, the incremental margin on that business?
Leighton Carroll: Yes. No, great question. Look, if we get crazy volumes, will we need to add resources and capabilities? Yes, I'm sure. But it's not linear by any stretch. One thing that going through a turnaround like we have been doing these past few years is that you better get really freaking operationally efficient and yet effective or you die. And we have done that. It's the way I would describe it is we have levers we can pull at certain times on that growth, but we foresee that growth to be pretty efficient. Obviously, on your manufacturing and production side, scaling tends to be with the exception of your indirect and fixed costs, a bit more linear. And we'll obviously look to enhance that. But the core team and what we do, we don't -- that doesn't need to change materially. Obviously, growth will lean into new opportunities, either in engineering or adding sellers as appropriate. But it's clearly not linear, which means the business should continue to grow and ideally have margin growth. Conversely, we have had some situations where I had a Tier 1 U.S. carrier come to our business and say, these 3 specific models, we see these as high runners for us. And we want to set up a volume discount arrangement with you where if we get past, call it, $5 million, $10 million in orders, we get a discount on the overall purchase price, which effectively would lower the net margin for that product. It doesn't take a genius to say, okay, having a high percentage number on, say, $500,000 in sales versus a, call it, a -- it's not -- I'm not talking single digits, but more than 10 way less than 25. I obviously don't want to reveal anything, but a discount somewhere in that window at $10 million. You do the math, that is way more money to the bottom line. That's not percentage margin growth, that's raw margin growth. And at the end of the day, getting raw margin growth is the name of the game, but doing that in a way where you're still protecting what you do for your business. And that's hopefully philosophically gives you an aid. So I think over time, there may be -- we may not have the same raw percentage, but the idea is the bottom line number continues to roll and grow up.
Operator: There are no further questions at this time. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.